Operator: Good morning, and welcome to the ITM Power Plc investor presentation. [Operator Instructions] The company may not be in a position to answer every question received during the meeting itself. However, the company can review all questions submitted today and publish responses where it's appropriate to do so. Before we begin, I'd like to submit the following poll. I'd now like to hand you over to the team at ITM Power Plc. Good morning.
Dennis Schulz: Good morning, and welcome. We are pleased to present a strong set of results for the first half of the financial year '26. We have yet again delivered our highest 6-month revenue performance while maintaining strict cash and operational discipline. Today, in order to set the scene, we will start with a look at the market environment, our operational and financial situation and our sales activity. I will then explain our business model, talk about operational progress achieved and provide an update on selected projects. Simon, our CTO, will shed light on our newest product, ALPHA 50, and give insights on the levers we have and use to lower the cost of hydrogen. He will then talk about ITM's future, our game-changing next stack platform, CHRONOS. After that, Amy, our CFO, will explain our financial results in more detail and provide guidance for the full year. Okay. Let's start with the market and our competition. Hydrogen will play an essential role in the decarbonization of industry and the energy mix, especially in hard-to-abate applications like refining, ammonia, heavy industry and industrial heat. While refineries undoubtedly show the biggest momentum right now, we start to see first hydrogen applications in cement, steel, paper and many other industries. Despite the known macroeconomic headwinds, the momentum is undeniable. The Hydrogen Council and McKinsey have tracked clean hydrogen project investments from 2020 to 2025 and recorded an 11-fold increase from USD 10 billion to USD 110 billion. The policy situation remains favorable for our industry. And the EU, Nordics and U.K. are making the most tangible progress, while the U.S. has unsurprisingly stalled. With market consolidation continuing to put pressure on many of our peers, we continue to see a healthy level of sales engagement and strong demand, in particular for NEPTUNE V and ALPHA 50. Let's move on to our operational situation. Commercial activity has progressed well in the first half of the financial year. We were awarded several equipment supply contracts, including for Westnetz in Germany and for cement producer in Spain. We also signed multiple engineering contracts, and we were selected for a number of small to large-scale projects, laying the foundation for future order intake. Importantly, RWE as a repeat blue-chip customer has reserved 150 megawatts of NEPTUNE V capacity with us, following on from our strong project progress on the 2 Lingen plants, each 100 megawatt in size. I will speak more about these projects later in the presentation. While we wish that some customer FIDs could be taken a bit quicker, we remain agile and exceptionally well positioned to capitalize on the market dynamics, be it based on our comprehensive and competitive product portfolio or through our new build-own-operate business, Hydropulse. Next up, our financial position, which remains strong, underpinned by capital discipline and our focus on operational improvements. Our balance sheet is increasingly seen as a competitive advantage by customers. Later, Simon will shed more light on this topic. Now I don't want to take Amy's part away, but despite record revenues, our firm contracted order backlog continued to grow and in it, the share of profitable contracts as we work through the few remaining legacy projects. As I already mentioned, sales activity has remained healthy with a notably increasing share of industrial customers in the mix. NEPTUNE V continues to be our most demanded product. And given very high early interest, we expect our new ALPHA 50 product to become just as successful. We are also pleased to see growing momentum in our home market, the U.K., where we were selected for a number of HAR1 and HAR2 government-backed projects already, including the Uniper Humber 120-megawatt project, which has been progressing well through FEED towards FID. We have also signed our first POSEIDON contract for the HAR1 MorGen Energy project, for which our customer expects to be able to take FID in the short term. Also post period end, we have seen continued momentum. Among other successes, we were selected for 2 grid balancing projects in Germany, totaling 710 megawatts in size, and we were awarded a 12.5-megawatt contract by Octopus Energy Generation, one of the first HAR1 projects in the U.K. to have taken FID. Our strategic priorities, you have seen them before, were shaped by a dynamically evolving market environment and unsteady macroeconomic conditions. They have served us well. And while many of our peers are struggling, they have helped us grow sustainably, steadily and with the necessary patience. And they remain fully valid. You can be assured that we will continue to closely observe the market environment and that we are staying adaptable and responsive. Now on this slide, I'd like to explain you our business model and take you on the journey of building an integrated hydrogen company with significant growth potential. It is the journey of becoming a one-stop shop for customers who need electrolyzer equipment, complete hydrogen plants or simply just hydrogen. Today, we are proudly looking back on 26 years of innovating, designing and manufacturing electrolyzers. Electrolyzer technology, we and many of our customers believe is the best in the world. We have learned to engineer these electrolyzers into full green hydrogen production plants. And over time, we have acquired the capability to perform the necessary EPC services by ourselves. Our newest product, ALPHA 50, is the culmination of that. We are also offering our customers comprehensive aftersales services to help them to best operate and maintain our plants and to maximize the value they can derive from the use of our products. The newest pillar of our business model, Hydropulse, is the logical next step on our growth path. Following in the footsteps of the big gas majors of our time, once you have the leading technology and the capability to deploy it competitively, then you have a solid foundation for a build, own and operate model. Hydropulse will buy the electrolyzers and related EPC services from ITM and operate plants to supply hydrogen to industrial customers under long-term offtake contracts. This increases the group's factory utilization, provides plannable recurring income streams and is highly cash generative. Hydropulse is poised to play a key role in creating shareholder value, and we'll be able to offer green hydrogen at a cost level not seen before in our industry. Our operations have been further strengthened. Besides countless day-to-day improvements, we were able to cut electrolysis time during end-of-line testing in half, saving precious energy costs and increasing throughput significantly. In our last update, we spoke about our planned NEPTUNE V assembly line in our adjacent second factory. It is now in full operation and the NEPTUNE containers move from build station to build station until they are completed. This efficient production line layout allows us to meet the growing demand for our best-selling product. The next and even bigger improvement is our new autostacker robot assembly line for our stacks. We took our time to develop a tailored machine and validated the process properly. The autostacker marks a major leap in factory automation and is capable of producing more than 2 gigawatt of stacks per year. Last time, I featured our 20-megawatt NEPTUNE V project for FDE in Norway. This time, I want to highlight a project we won just about a month ago. Octopus Energy Generation awarded us a 12.5-megawatt contract for their government-backed North Fleet project in the U.K. The green hydrogen will be used to decarbonize the papermaking process, a hard-to-abate industry at Kimberly-Clark's U.K. mill, which manufactures Andrex products. Hydrogen will replace natural gas in a new dual fuel boiler system, which can operate on either of the 2 gases, offering operational flexibility. The second project I want to highlight is in Germany. I already spoke about RWE reserving 150 megawatts of NEPTUNE V capacity with us following their satisfaction with our delivery against the world's biggest PEM electrolyzer in Lingen. So let's talk about the project. The 200-megawatt installation is divided into 2 100-megawatt plants, Lingen 1 and Lingen 2, which we are building with our partner, Linde Engineering. The installation of the first 100 megawatt, Lingen 1 was successfully completed at the end of 2025, marking the completion of the first plant of its size anywhere in the world. For ITM, this meant producing and shipping 50 TRIDENT skids and 150 stacks, which have all been successfully installed into the Linde [indiscernible] plant and pressure tested on site. Importantly, we have delivered everything on time for this massive plant. I hope the photos convey the scale. Lingen 2, the second 100-megawatt plant is in full construction swing with all skids and 40% of stacks already installed, yet again, all on time. With this, I would like to hand over to Simon to talk about ALPHA 50.
Simon Bourne: Thank you, Dennis. Since the last market update, we've introduced another product to our portfolio, ALPHA 50, a full scope 50-megawatt green hydrogen plant. This was triggered by 2 key pieces of market feedback. The first was that a full scope offering from a single supplier is highly desirable. We've seen that with the success of the NEPTUNE product line, where everything from AC power and water, all of the way through to high-pressure and high-purity hydrogen is provided in one package. This minimizes integration complexities and split supplier responsibilities, making it a straightforward and more competitive deployment. The second was the demand for ever larger systems, which have previously been the domain of the EPC stick-built approach. ALPHA 50 fills a gap in the market, providing a skid-mounted, standardized and prefabricated solution compatible with scale. As is common to all ITM products, it has the state-of-the-art TRIDENT stack platform at its heart. It has a highly optimized footprint and is designed for outdoor operation over a very wide temperature range. Being modular, it can be adjusted in 10-megawatt blocks, providing flexibility for a range of project sizes without needing to reinvent the wheel. This means, for example, that ALPHA could be configured into a 60 or 70-megawatt plant. The product was introduced in October 2025 with a price of EUR 50 million for the 50-megawatt system. Just like NEPTUNE V that Dennis referred to earlier, it's landed very well in the market, and we are already pursuing several live opportunities. At this point, I'd like to take a step back and answer a question which we frequently get asked. Let's take a look at the factors that influence the cost of green hydrogen. I break this down into 3 categories: CapEx, how much does it cost to buy the necessary equipment? OpEx, how much does it cost to operate the equipment and customer confidence? How much risk is perceived that requires contingency in the project budget. Improvements in these areas have positive impacts on business cases, making green viable in more and more applications. CapEx first. The cost of an electrolyzer can be broken down relatively simply. The stacks account for approximately 1/3 of the cost and the balance of plant, including the power conversion system accounts for the rest. There are several levers available to ITM to address CapEx, and I'll give a few examples. From a technology perspective, increasing current density has a significant effect on stack cost reduction. Doubling current density doubles the hydrogen production rate from the same stack, meaning half the number of stacks are required for a given hydrogen demand. This is why ITM pioneered high current density and has been providing high current density stacks commercially for several years. I would add that in parallel to making the stacks work harder in this way, we've done so while both reducing the use of high-value precious metals and increasing stack efficiency at the same time, something that is a credit to our technical teams that continue to push the technology further. From a supply chain perspective, standardizing the product portfolio means fewer parts to manage and more efficient repetitive processes. Strategic relationships with key suppliers ensures priority access to the best equipment at a negotiated price. Working closely with suppliers in this way maximizes joint learning, builds trust and enables both sides to work together to drive down costs and optimize the offering. A high-quality manufacturing system minimizes waste and rework costs while enabling processes to be streamlined. This also saves energy and people cost for repeated end-of-line testing. On-site construction costs are minimized due to preassembly and containerization. Smaller footprint requirements and the full scope nature of products eliminates complex on-site works. OpEx. The operational cost of a green hydrogen plant is dominated by the consumption of electricity. While there are several power consumers in the system, the stacks account for over 90% of the electricity used. Therefore, improvements to stack efficiency have a disproportionate impact on reducing the molecule costs. Through our in-house IP and our joint research and development with Gore for membranes, our stacks benefit from a market-leading efficiency. We have also demonstrated and published extremely low rates of infield performance degradation, keeping operational costs low and predictable over long periods. The ability of the electrolyzer to modulate rapidly enables access to lower-cost electricity. The plant can also attract revenues for providing balancing services for the electricity grid and waste heat can be recovered and utilized in adjacent processes, further optimizing overall energy usage. Ongoing maintenance programs are lean and supported by a remote operating center that provides real-time support and helps maximize plant availability. Finally, customer confidence. Every customer business case builds in buffers for risk and the main risk questions for customers and their lenders are usually technology related. That's why the increasing availability of operating data from real industrial deployments is so important. Having gained data from real-world small and large-scale applications, we've been able to show customers performance data that they can build into their models with increasing confidence. This, in turn, has enabled ITM to develop specific product guarantees that help customers achieve the certainty they need. We are proud to have received repeat business from several blue-chip companies, and I personally see this as an important indicator of customer traction and trust. Combine this with the reference plants mentioned earlier and our strong balance sheet, the bankability dial is moving in the right direction. This is particularly important when project financing is required. From CapEx and OpEx minimization to maximizing customer confidence, ITM has been active in all these areas. Our continued development activities, focus on real-world deliveries and operational learnings are the foundation of tangible improvements that are driving down the cost of green hydrogen production for our customers. Let's take a look into the future. In due course, TRIDENT will be succeeded by CHRONOS, and this will be a genuine game changer. CHRONOS is our next-generation stack platform, and it benefits from all our experiences. It will be lower cost, higher performing and more compact. Now remember that the stack is the heart of all of our products, such as NEPTUNE and ALPHA. Therefore, improvements to the stack mean improvements to the full product range, making them even more competitive. Using the market-leading TRIDENT stack as a benchmark, let's take a look at some of the changes that CHRONOS will bring. We've reduced part count by over 50% and made it significantly easier and faster to build. And none of this comes from making slight tweaks. This is the result of a major exercise rethinking each element of the stack. We're targeting 40% cost reduction, and CHRONOS has been designed to maximize component reuse and recyclability up to 90%. A single stack will be rated at 2 megawatts in base operation, tripling the capacity compared to TRIDENT, and it's capable of up to 2.5 megawatts. We're targeting a 10% efficiency improvement despite further reducing precious metal loading. The footprint is reduced by over 50%, achieving an unmatched power density of 2.5 megawatts per square meter, making it compatible with even the most congested industrial sites. The weight has been reduced by over 50%, making it easier to handle and transport. All of these attributes are focused on further reducing the cost of green hydrogen production. CHRONOS represents a genuine step change, and we'll continue to innovate and improve. The development and validation of CHRONOS is well underway and progressing to plan. We've deliberately not guided for a specific release date because we are doing this thoroughly and ensuring that we get the most important technological foundation to all of our products right.
Amy Grey: Thank you, Simon. Good morning to everybody, and thank you for joining us today. I will take you through a strong set of results for the half year ended 31st of October 2025 and then talk about our guidance for the year ended 30th of April 2026. We are pleased to report revenue of GBP 18 million, representing the highest half year revenue in ITM's history. This performance was driven primarily by equipment sales of GBP 15.5 million, with a further GBP 2.5 million generated from engineering studies, spare parts, maintenance and equipment upgrades. Historically, ITM has recognized revenue using the completed contracts method at specific milestones such as delivery, testing or commissioning. These are dependent on the individual contract terms. As our product portfolio continues to evolve, we have actively reviewed and refined this approach. While TRIDENT and standard NEPTUNE products are expected to remain under the completed contracts method, nonstandard NEPTUNEs, POSEIDONs and ALPHA projects are suited to the percentage of completion approach, allowing revenue to be recognized progressively over the life of a contract. This evolution is important. It better aligns revenue recognition with value creation, enhances revenue visibility and reduces reliance on endpoint customer actions. As a result, it supports a more predictable and higher quality financial profile as the business continues to scale. Of the equipment sales recognized during the period, GBP 13.9 million related to legacy contracts recognized at a point in time. In addition, we successfully recognized GBP 1.6 million of revenue from a NEPTUNE V contract under the percentage of completion method, marking an important milestone in the transition to overtime revenue recognition. The gross loss reduced to GBP 6.5 million, a significant improvement from the GBP 10.2 million in the first half of the previous financial year. This reflects both higher production volumes and continued discipline on cost control with overheads held broadly stable despite increasing operational activity. We have maintained strong focus on cash and cost discipline while continuing to enhance the capabilities and competencies and grow our level of production. These actions continue to support a clear path towards efficiency, scalability and profitability. We ended the first half of the year with a cash position of GBP 197.8 million, representing a reduction of only GBP 9.2 million in 12 months. This reduction reflects the continued manufacturer of customer commitments for which cash was received in prior periods and demonstrates ongoing execution against contracted orders. We expect cash outflows to increase in the second half as we continue to manufacture and deliver contracted projects. Importantly, our customer contracts are structured to provide cash ahead of or in line with production outflows, meaning that anticipated half 2 outflow is both expected and fully aligns with contractual milestone timings. The chart on the right illustrates continued progress in inventory management. As finished products are dispatched, overall inventory levels are reducing, and we have further improved the mix by lowering the proportion of raw materials relative to finished goods, which reflects tight operational control. Capital expenditure increased modestly to GBP 6.9 million, in line with our expectations. We continue to advance CHRONOS, and we have taken delivery and completed installation of the autostacker. As Dennis mentioned, our contracted order backlog increased to GBP 152 million despite delivering record revenues in the period. The backlog comprises only of fully contracted orders without any starting conditions. And therefore, it doesn't include MorGen energy contracts, which is still awaiting the customer to take final investment decision. Crucially, the quality of our contract backlog continues to improve. The proportion of profitable contracts has grown to 71%, increased from 60% in April 2025. This reflects the structural reset of pricing, risk allocation, project selection and execution. The remaining 29% of the backlog relates to legacy projects, and we expect to recognize this in revenue over the next 18 months. As we've previously stated, these contracts are fully provided for, but they do not contribute to margin. Turning now to our guidance for the year ending 30th of April 2026. We are maintaining revenue guidance of between GBP 35 million and GBP 40 million, which represents a growth of approximately 400% over 2 years and 600% over 3. The majority of our revenue this year will continue to be recognized on legacy contracts using the completed contracts method. Looking ahead, and as I've mentioned, we are pleased that POSEIDON, ALPHA and Bespoke NEPTUNE projects will increasingly be recognized over time, and we have already successfully implemented this approach in the first half of the year. EBITDA loss guidance stays unchanged at GBP 27 million to GBP 29 million, reflecting continued delivery of remaining legacy contracts. This represents an improvement of approximately GBP 4 million year-on-year. At this stage, remaining losses are primarily driven by factory loading, and we continue to maintain a strong control over production, project and overhead costs. We expect year-end cash to be in the range of GBP 170 million to GBP 175 million. The higher outflow in the second half reflects the timing of milestone receipts, which are typically received ahead of or sometimes alongside cash outflows. Strong progress on projects enabled certain receipts to be collected in the first half of the year with associated payments occurring in the second half. Therefore, and counterintuitively, the lower outflow number in this first half and the higher outflow number in the second half of the year are signs of ITM execution in a disciplined and cash positive manner. Bumpy cash inflows and outflows will never be avoidable in the business we are operating in, but will flatten over time with an increasing number of projects in delivery. That concludes our presentation. Thank you for your attention and your continued support. We are excited about what lies ahead of us in 2026.
Operator: [Operator Instructions] I'd like to remind you the recording of the presentation along with a copy of the slides and the published Q&A can be accessed via investor dashboard. I'd now like to hand you over to Justin Scarborough, Head of Investor Relations, to host the Q&A. Justin, as you can see, we've received a number of questions. Could I, therefore, please ask you just to read out the questions and give responses where appropriate to do so, and I'll pick up from you at the end.
Justin Scarborough: Thank you, Paul, and welcome, everybody. Our first question is for Simon. Could you provide an update on CHRONOS, its development and your planned launch date?
Simon Bourne: Absolutely. So the starting point for CHRONOS is TRIDENT, our existing stack platform. So it's a very good starting point because that is already performing exceptionally well. Now while there are a number of things that we can carry across from TRIDENT to CHRONOS, it's still very important to go through a very comprehensive and robust verification process, and that's exactly what we're going through at the moment. To put a bit of color on that, recent activities have included inspection of all of the full-scale components. We've been verifying the various manufacturing processes and reviewing long-term data from the components operating in the lab. And we've already built our first stack already. We did that last year. We used that as an exercise to check all of the assembly processes. And I'm very happy with the progress of the program. Now as I mentioned in the presentation, we've deliberately not guided towards a launch date. and that's primarily for 2 reasons. The first is that we don't want to inadvertently trigger customers to stop purchasing our existing stack, TRIDENT. That is what we're supplying today. And the second is that we will only launch CHRONOS when we have fully completed all of the validation steps that we need to go through.
Justin Scarborough: As a follow-up for Simon, given the development of CHRONOS, where does TRIDENT fit in terms of ITM's product portfolio?
Simon Bourne: Well, TRIDENT remains central to ITM. We continue to build and supply TRIDENT today for existing programs and for aftersales activities. And as you've seen from the presentation, we've continued to invest in production capability and quality for TRIDENT with the autostacker. And so that very much remains a product that we continue to manufacture, and we will maintain that capability because we have an existing fleet of products that we'll need to continue to support into the future. So in due course, at the right time, we will transition from TRIDENT to CHRONOS, but we will not get rid of the TRIDENT platform. And perhaps to add one more thing, some of the technology that we've developed for TRIDENT, we'll take a close look at that. And if it is feasible to transfer to TRIDENT, we will do so to make that available to existing TRIDENT customers.
Justin Scarborough: Amy, a question for you. Regarding your adjusted EBITDA and the first half performance -- your midpoint guidance suggests a flat EBITDA loss in the second half of this year versus the second half of last year. Could you shed some light on this year-on-year expectation given the fact that the first half adjusted EBITDA loss reduced by around 30%?
Amy Grey: Yes, sure. So firstly, our EBITDA is not achieved flatly across the year when you're comparing one half to another or even when you're comparing on a month-to-month basis. A couple of things make up that. Firstly, our revenue recognition being on completed contracts means that there are different margin levels in each period. Again, whether you're comparing a month-to-month or a half year to half year, we make every effort to flatten out manufacturing profile, but we can have variances in between different periods due to the level of production, how many hours needed on Neptune products, testing levels that can increase or reduce our electricity consumption. And then we also have some general cost increases that are probably going to affect half 2 more than half 1 as they do in any year while you're in an inflationary environment. I think what's important to remember is we take a really conservative approach to revenue, cash and EBITDA guidance, and we will only guide to what we are certain will be achieved. That's what we believe is going to be achievable at the moment. And if there are any differences, we will update market.
Justin Scarborough: Thanks, Amy. Whilst we're on the subject of EBITDA, there's a follow-up question, which is when do you expect EBITDA to be positive for the company?
Amy Grey: Okay. So I think I've probably said this before, but we never guide beyond our current financial year. But we are confident that we know the path to profitability. We need to do a lot of what we've been doing for the last few years. So we need to really focus on winning and then executing profitable contracts. We need to retain focus on quality manufacturing and quality of our supply chain, and we need to maintain the discipline on overheads and cost control in every area of the business. In addition, particularly important to our path is Hydropulse. So that's our build, own, operate model, which will bring recurring predictable revenues and increase our profitability.
Justin Scarborough: Thank you, Amy. I think this question is probably for Dennis. The autostacker looks like it could be a game changer for your stack assembly. What redundancy have you built in, in the event of the autostacker not working for whatever reason?
Dennis Schulz: That's a good question. So first, it is a very important leap in automation for our factory. I think it was one of the remaining parts, which still had quite manual involvement in the process. And I mean you've seen a little video as part of the presentation. It's quite impressive. It's quite an automated process now and proper manufacturing line, and it is definitely helping us in terms of consistency. It's helping us in repeatability, and it will minimize the risk of remaining human errors as part of the manufacturing process of stacks. Obviously, it will also save cost and increase capacity quite substantially. I mentioned the number already as part of my part of the presentation. The capacity of the robot alone is above 2 gigawatts of stacks. Now redundancy is important. You don't want to be too dependent on one machine alone. That's why we will retain the capability to produce our previous process, which I have to say was also not bad. I mean we spoke about very high factory acceptance test rates in the past, and these we had achieved with our previous process. Now the next leap, as I said, the autostacker will take that even further and improve repeatability.
Justin Scarborough: Thank you, Dennis. I think that's probably the next question is for you as well. Regarding the RWE 150-megawatt NEPTUNE V capacity reservation, when do you expect the first call-offs to be? And could this create a potential bottleneck?
Dennis Schulz: I guess you would have to ask RWE when they want to sign the first contract with us. But jokes aside, we are in active contract negotiation for the first call-off under that agreement. As always, we do not guide on specific timing, not just because we don't want to, mainly because it's not fully in our control. And I think it doesn't make sense to guide for something which is outside of your control. But the negotiation is going well. It's not the first contract we are negotiating, executing together. Maybe allow me a little bit to expand on the nature of the projects we are talking about here to give you a bit more color to the topic. The reservation agreement is aimed at, I would say, rather large contracts. And such a contract would always start with an engineering phase, usually with the aim to obtain the necessary building permits as well as government funding if applicable. In the case we are talking about here, the government funding was already granted. So it's mainly about permits. Then subsequently, the manufacturing and delivery phase would be triggered based on the permitting. And this is when we would start to manufacture. By the way, the Lingen contract we are executing right now is following the exact same pattern. So this is a proven model we have done in the past. With regards to bottlenecks, I think that was the other question, Justin? Correct?
Justin Scarborough: That's correct.
Dennis Schulz: I do not see an emerging issue at this point in time. It depends obviously how many other customers are ordering NEPTUNE V containers now. But I can tell you, there's always a way to expand container assembly. This is mainly labor-driven, and you need factory space, both not very difficult to increase, especially in the Sheffield region. We could also work with integrators if really needed. But at this point in time, I do not foresee a bottleneck.
Justin Scarborough: Thank you, Dennis. A question for you, Amy. Based on your order book of GBP 152 million today and your midpoint revenue guidance range for the year, your book-to-bill ratio stands at just over 4x versus about 5.5x at the end of last year. With only 3 months of the current financial year remaining, do you expect your book-to-bill to increase by the end of the financial year?
Amy Grey: Okay. So I think to be honest, keeping 4x revenue in the order book while delivering revenues that are 600% above 3 years ago and 400% above 2 years ago is something to be really very proud of and certainly something that our peers would love to achieve and the opposite here saying. I think the important thing on the order book is it has grown in value. And the most important part of that growth is the increase in the percentage of profitable contracts as we win orders, and we continue to deliver on the legacy contracts removing those from the order book as we go. Just to add as well that we only guide including contracted equipment sales orders. So they're fully contracted and are going to happen during the year. So in summary, I'm not going to give any guidance on how much I expect or not expect it to increase, but it's important we maintain the healthy ratios that I think we've absolutely got today.
Justin Scarborough: Thank you, Amy. Simon, one for you, I think. In previous results announcements, we've spoken about FAT pass rates and how successful ITM has been in improving that. Could you provide some tangible insights on how the high pass rate translates into lower cost per stack?
Simon Bourne: Yes. And I think that's right. Previously, we have reported first-time pass rates of around 99% -- and that's no small thing given that we do very extensive testing of our stacks at the end of line. We don't just do pressure tests and leak tests. We have third-party witness tests for various compliance reasons. We electrolyze the stacks and characterize their performance over the full operating range. So it's a whole suite of tests that we're looking to pass first time through. And that statistic is a result of a focused effort to improve our supply quality, introduce additional quality checks throughout our manufacturing processes and so on. And that drive was successful, and we've put in place lasting measures to make sure that we continue to benefit from that high at first-time pass rate. What does that mean? Well, it avoids us spending additional time examining stacks or retesting stacks that would otherwise find its way into the price of the stacks themselves. I'd perhaps add that we haven't stood still. In recent time, we have made big strides in our efficiency of our end-of-line testing. And in particular, we just over halved the amount of time we now spend doing our electrolysis testing of stacks as part of that process. So we still enjoy the high pass rate, and we're getting more efficient in parallel.
Justin Scarborough: Thank you, Simon. A question for Amy again. Regarding revenue recognition, could you provide a split of your order book between completed contracts and the percentage of completion met?
Amy Grey: Yes, of course. But before I do that, let me just take a little step through the changes that have happened in revenue recognition. So I'm really pleased that we've managed to review the recognition methods as our product portfolio grows and develops, it's really important to take that step back and make sure what we're doing is appropriate. And it's allowed us to implement different ways of recognizing revenue to the one that we've historically used. So the one that we've historically used is completed contracts. So that's where we recognize revenue at specific points in our contracts when performance obligations are met. They could be -- that could be delivery or commissioning, but generally towards the end of a contract's life. We will still use that method for TRIDENT, and we'll still use that method for our standard NEPTUNE products. The difference is that NEPTUNEs that contain a customer modification, POSEIDONs or ALPHAs will be recognized over time as we produce the equipment. And that's really important as we'll be able to see the revenue track through the profit and loss as we are actually manufacturing and leads to a lot more predictable revenue going forward. If I could give you a real-life example, if you take the Uniper 120-megawatt HAR project in the U.K. So that's currently at the FEED process. So under the old recognition methods, the completed contract method, we would recognize a small amount of revenue as we go through that FEED study. And then effectively, you would see nothing else for 2 to 3 financial periods until we get towards the end of that contract and revenue would be recognized in one lump sum. If we transfer that to the new version of percentage completion using ALPHA or POSEIDON, we get exactly the same revenue for the FEED study, which would be recognized at the same point in time. But the difference being that at the point that we signed the contract up until delivery, we'd be able to progressively recognize revenue. So in that first financial year, you would see revenue happening for that project and in the second and then at delivery until you get to the same point in time. So it will allow us to be able to see progress through the factory in the P&L.
Dennis Schulz: I think that's a massive change, if I may add. In the past, when we signed a large contract, 100 megawatt, more than 100 megawatt, for example, you would not see relevant revenue from that contract for minimum 2, 3 years, right? And then everything would come at once. Under the new POC percentage of completion method from contract signature, you will see revenue coming in. That is important because it changes the financial profile of the company quite significantly. What it means is if we sign a new large contract during a year, now for the first time, you will see an immediate impact on guidance for the year, and you will see an immediate impact on the financial numbers of that particular year, which is something very different from the past.
Amy Grey: Justin, if I could just answer the specific question because I realize I haven't answered it yet. The current order book is roughly speaking, 85% completed contracts and 15% percentage of completion.
Justin Scarborough: Thank you very much. We've got another financial question. In the first half, admin expenses pretty exceptional and before depreciation and amortization stood at around about GBP 10 million versus just over GBP 9 million in the first half of last year. Do you expect the second half of this year to be at a similar level to that of the first half?
Amy Grey: Okay. So as I mentioned earlier, we are in an inflationary environment. So costs are expected generally to go up a little bit one half to the other. And then we do certain things such as we don't award salary increases until partway through half 1. So there's a full year effect of that in half 2. And we've also been on a journey of increasing capability and competencies within ITM, which generally leads to a higher cost base and some of those vacancies are being filled towards the back end of half 1 and half -- into half 2. So in summary, I wouldn't expect it to be vastly different, but I would expect a slightly higher cost base in half 2 compared to half 1.
Justin Scarborough: Thank you. We've had a number of questions through on Linde today. So this is trying to bucket it into a more general one and for all of you. Can you provide an update on ITM's relationship with Linde?
Simon Bourne: The relationship with Linde is a productive one, right? I mean we are in the middle of executing some of the largest electrolyzer projects globally today. So as you might imagine, there are a lot of meetings, a lot of discussions and a very active and productive relationship. So interactions with Linde are daily. And I think the progress that's been presented today on those large projects is a testament to the 2 teams working together effectively.
Amy Grey: Yes. I mean I think if I could just add, we're also looking forward, not just execution, but we are actively working with Linde to think about how we, contracts going forward and that kind of sales arrangements that we have with them and how we proactively work together.
Dennis Schulz: Yes, I think nothing to add. All has been said.
Justin Scarborough: Okay, Dennis. Amy, can you explain the significant rise in trade and other receivables, about 35% and trade number payables in the first half of about 19% since the end of April?
Amy Grey: Yes, of course. So -- we'll have a general conversation about cash and how that might impact that. So just as a reminder, we structure our customer contracts to receive cash ahead of or at the same time as payments to suppliers. Those receipts are staged throughout the life of a contract. So they'll be generally based on milestones such as contract signature, purchase of significant equipment, factory acceptance testing, and there can be various different makeups through the contract. Each is individual, but the important point is getting the cash ahead of it's going out. We structure supplier payments in the same basis. So where we're buying a big piece of equipment, we'll have similar milestones in that contract as well. The result of that means that we can have swings in both trade receivables and trade payables, which is just normal part of the cash cycle of this business. As an example, we had some receivables in half 1 with payables going out in half 2. So you will see that balance shift in again in the full year results. But it's just a normal kind of course of a healthy way of managing cash.
Dennis Schulz: And it's also very normal for our industry. I mean most of the contracts we do would foresee a down payment just at the beginning. So when you sign the contract, basically, you issue the first invoice for a down payment in order to be executing cash positively. And from contract signature within then 30 to 45 days, you would see a big spike because you have like 10%, 15% of contract value coming in at once. And then there is a time of spend phase where you then use up that money where you have cash out of the door. And depending on whether that lands now in the first half of the year, second half or slightly into the next half of the year, that is something which will always create some bumps, and that is a perfectly normal thing for an EPC type of company. That will be a bit more flatten as soon as Hydropulse becomes bigger in the mix there, we have a more stable cash in and cash out profile.
Amy Grey: And the other thing which flattens it is the amount of contracts that we're doing at any one time. So the more that we grow and the more contracts that we have going on at one time, it will flatten itself.
Justin Scarborough: Thank you. Next question for Dennis. Jurgen Nowicki has now taken over the role as ITM's Non-Executive Chairman. As your ex-boss, Dennis, what does Jurgen bring to ITM?
Dennis Schulz: Well, what does he bring? Probably his excellent German humor. No. Jokes aside, he's actually quite funny. Jokes aside, I mean, he brings long-standing experience in the industrial gas segment, in particular, in plant engineering, procurement construction for EPC, but also in plant operations from the Hydropulse angle. In his role as CEO of Linde Engineering, he was basically in charge of managing thousands of people, hundreds of projects worldwide at the same time and billions in revenue every year. So I think that he will bring a lot of knowledge, which will help us to further grow the company. I spoke about the business model earlier in my presentation. And I think his knowledge and expertise adds very well to that. He also has known ITM and supported us for many years on the Linde side, and he joins us after a 6-month cool down period from his Linde job, which I think makes sure that we see that also as separate assignments. I think it's also worth mentioning that wasn't the question, Justin, I know, but I think it's worth mentioning that we had 2 more starters to the Board in October, who both significantly strengthened the Board further. The first one being Sir Warren East, former CEO of ARM and Rolls-Royce and the second one being John Howarth with -- bringing a lot of financial knowledge being an audit partner at S&W in the U.K.
Justin Scarborough: Thank you, Dennis. Another one for Amy. Are you assuming any contract signings in your cash guidance for the rest of the year?
Amy Grey: Okay. Simple answer is no. So we don't forecast any contract signings in the cash guidance. We forecast based on what we know is going to come in and what we know is going to go out, both in terms of contracted orders, OpEx and CapEx. And we do that because as we structure the customer contracts to be cash flow neutral at a base case position, and we hope for better, but we forecast them to be neutral. So actually, it wouldn't be cash generative. And that's a very prudent way of looking at the cash flow forecast. Again, just to reiterate, if we did believe we were going to be any different to guidance on a material basis, we would update the market.
Justin Scarborough: Thank you, Amy. Back to you, Simon. How does the launch of CHRONOS impact your product portfolio in terms of NEPTUNE and ALPHA 50?
Simon Bourne: Okay. Well, I think it's a good thing. And we've said earlier that the stack is the heart of the electrolyzer system. So if you have a higher-performing stack, you have a higher-performing product. So at the right time, CHRONOS gives us the opportunity to reenergize the entire product portfolio to take advantages of the improvements in the CHRONOS platform. So I think that's the first thing. The second thing is that CHRONOS has a much more compact footprint. So it's feasible to squeeze more stacks and get more capacity into the same space envelope. So from a product evolution perspective, CHRONOS arguably makes it easier for us to address larger and larger capacity products.
Justin Scarborough: Thank you, Simon. Next question, I think, is for Dennis. You mentioned in the presentation and in the release this morning, the level of interest in ALPHA 50 and you're clearly very bullish on Hydropulse. Could you provide any context on the number of customers you are speaking with and when some of these engagements may convert into contracts?
Dennis Schulz: So I think people know me by now. It's not my or our time to disclose detailed sales discussions. And as I said earlier on the RWE topic, it's very difficult to forecast when customers will take their part of the investment decision, right? But what I can tell you is that ALPHA 50 has landed similarly well to NEPTUNE V. And those of you who follow us a bit longer know that NEPTUNE V has quickly emerged to become our best-selling product. I think even the best-selling product in ITM's history actually. Seeing the very good early interest by customers, especially large-scale industrial customers on ALPHA 50, I would expect the product to be just as successful as NEPTUNE V, of course, on a much bigger scale because the product is 50 megawatt instead of 5, right? To give you a bit of a feel on timing, again, don't take that as a specific guidance now, but as a rough estimate, for NEPTUNE V. It took us around 3 quarters to be able to announce the first signed contract and sale. I think that's a typical time horizon you see from us launching a product, then having to go into the trenches with customers and explaining them what is the product, increasing their confidence, going through safety critical documents, making sure that they believe that we can actually pull that off. And that usually takes around 3 quarters. And the only difference being that for an ALPHA product, usually you would start a project with a FEED, less often straight directly into the EPC phase just because projects are much bigger. I would not expect to see ALPHA for anything smaller than 50 megawatt, although you could scale down in 10 megawatt, I think you said that earlier. But I think ALPHA really comes into play when it's above 50 megawatts in size and especially when you talk 100, 200, 500, then ALPHA is really interesting. And these projects usually need a bit of a FEED phase. The other question was on Hydropulse. Hydropulse. I mentioned Hydropulse as part of my presentation already. I think we are serving a real gap in the market here by eliminating CapEx and OpEx barriers to hydrogen adoption. Customer interest has also been great. I'm conscious I say that a lot, but it's actually true. Customer interest has been great since the launch. As I mentioned, I've not given a specific price, but I can tell you that we have now done a couple of plant configurations with customers. We really went deep into financial modeling of the full CapEx, OpEx, how much do we have to spend in terms of operational support, spare part exchange and everything. And even in the most conservative cases, the cost of hydrogen, which we can offer via Hydropulse is exceptionally competitive, something the industry has not seen on cost. And I can tell you that we have various very good project discussions ongoing with customers. But as always, projects take time to develop, especially under a build, own and operate model when we have to get confident on the site, on the site specifics, on the customer, on the specific use case. Is there a real believable long-term offtake contract in side? Are we talking 10 years plus, maybe 15 years? And then there's a permitting involved. So these projects take some time. So in my view, patience remains key. It's not so much a question of if Hydropulse, just when and how quickly it will scale. It will definitely become a very important pillar of ITM's growth story going forward.
Justin Scarborough: Thank you, Dennis. The last question now, which is for Amy. You've been at ITM for just over a year now. Has the job worked out as you expected so far?
Amy Grey: Okay. So I'll give you something that was absolutely expected to start with, which is that Dennis is just as hard work and demanding as I thought he would be. So that's perfect. I think there's lots of things I didn't expect. So I expected things to be really busy, but the amount of activity and opportunity that's out there in the market has really exceeded my expectations. The potential that we've got to grow shareholder value is vast, being part of kind of live customer negotiations and seeing what we can do and what value we can add and not just ITM, but the entire market, what the entire market can do for the energy transition has been eye-opening. The other thing I would say is that I think the ITM team has been amazing, and there's probably more knowledge than I ever thought was possible out there. We have a really dedicated and determined team who are going to drive this forward. And I think people always make the difference in these circumstances, and they certainly do with ITM. And then I think probably the final thing is like actually, I can exist on very little sleep, which is not something that I knew about myself.
Dennis Schulz: Welcome to my world.
Justin Scarborough: Thank you, Amy. And as Paul from IMC mentioned earlier, we will endeavor to work through any questions that weren't answered today over the coming week. Thank you for your attention, and have a nice day. Thank you very much.
Operator: Justin, thank you, and thank you to the ITM management team for updating attendees today. Can I please ask investors not to close the session to be automatically redirected to provide your feedback in order that management can better understand your views and expectations. This will only take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of ITM Power Plc, I would like to thank you for attending today's presentation, and good morning to you all.